Operator: Good day, everyone, and welcome to Eagle Materials First Quarter of Fiscal 2022 Earnings Conference Call. This call is being recorded. 
 At this time, I would like to turn the call over to Eagle's President and Chief Executive Officer, Mr. Michael Haack. Mr. Haack, please go ahead, sir. 
Michael Haack: Thank you, Josh. Good morning. Welcome to Eagle Materials conference call for our first quarter for fiscal 2022. This is Michael Haack. Joining me today are Craig Kesler, our Chief Financial Officer; and Bob Stewart, Executive Vice President of Strategy, Corporate Development and Communications.
 We are glad you could be with us today. There will be a slide presentation made in connection with this call. To access it, please go to eaglematerials.com and click on the link to the webcast. While you're accessing the slides, please note the first slide covers our cautionary disclosure regarding forward-looking statements made during this call. These statements are subject to risks and uncertainties and could cause the results to differ from those discussed during the call. For further information, please refer to this disclosure, which is also included at the end of our press release.
 I'll begin today with some perspectives about our business environment, one that is continuing to improve. Residential construction represents the most important single demand driver for us, driving around 80% of the demand for Gypsum Wallboard and about 30% of the demand for Cement. The outlook for housing starts, especially single-family starts, which are particularly important for wallboard demand, remains strong. 
 As long as mortgage interest rates stay in the lower quartile, by historic standards, this should be largely sustainable as we have been underbuilding against underlying demand in the U.S. for over a decade. This underbuilding has led to a record shortage of homes at the same time that household formations have been increasing. Repair and remodeling is a very important component of residential construction, and it is healthy component of the underlying demand engine. 
 With a financial boost from recent federal stimulus and strong house price appreciation, homeowners are continuing to invest in the upkeep and improvement of their homes. Homeowners also seem to be undertaking larger discretionary renovations, ones in many cases were deferred during the pandemic uncertainties. People are buying homes in record numbers, and I should emphasize where availability allows. And the knock-on effect for repair and remodel is significant. Whether it's getting a home in tip-top condition to sell or personalizing the home after purchase, there is a demand relationship between home buying and repair and remodeling.
 It was notable that President Biden said this month that he planned to make a historic investment in affordable housing by building and rehabilitating more than 2 million homes. The National Association of Realtors said that there is a cumulative demand-supply gap of 6.8 million homes. The loss of existing units through demolition, natural disaster or functional obsolescence has contributed to this shortfall along with the underproduction of new housing units. These intentions, if acted upon, represent upside to our already robust outlook for Gypsum Wallboard.
 Cement demand is driven most heavily by infrastructure. There's also been a lot of discussion about President Biden's intentions around federal funding for infrastructure, and this is needed, and it is, of course, welcomed. Implementation will further challenge U.S. cement supply in many parts of the U.S., which is already straining to meet current demand. It is also important to emphasize, as I have in the past, that the lion's share of funding for infrastructure comes from states, not federal government. There was quite a bit of concern about state budgets being impacted by the pandemic. But as we shared in the prior earnings calls, our analysis of sources of state funding suggests the impact would not be as great as some feared, especially in the U.S. Heartland states in which we operate. 
 As it turned out, state and local revenues are, in fact, healthy. At Eagle, we remain virtually sold out of our manufactured cement. Our entire U.S. Heartland system is now starting to tension more than it has over the last decade. I'd emphasize that our cement volumes this quarter were slightly impacted by wet weather and not by the lessening of demand. The point of this is that the demand picture is robust today for both of our businesses. The factors driving this strength should be sustainable at least through the midterm. That is the demand side. 
 Now let me spend some time on the supply side. I want to start the supply side discussion with some comments I made in the last earnings call, as I think they are important to reiterate. The first item is around the diminishing supply of synthetic gypsum in the eastern half of the U.S. This is due to less burning of coal as power plants change fuel sources from coal to natural gas and from their outright closure of coal-fired power plants. With a diminishing supply of synthetic gypsum, existing synthetic wallboard plants will be limited in their ability to fully utilize their current capacity, increase current capacity or build new capacity. 
 Conversely, almost all of Eagle's plants have many decades of raw material supply, which are primarily own natural gypsum deposits. We are largely insulated from the direct effects of this diminishing synthetic gypsum trend, while our plants are also in a position to indirectly benefit from the supply dynamics that this trend creates. In this way, it is notable that the Gypsum Wallboard industry is increasingly looking more like the cement industry. 
 The second point we discussed in the last call was around the significant regulatory and capital barriers to U.S. cement capacity expansion, whether it be existing facilities or through the construction of new ones. This is why in the face of increasing demand and with industry capacity now nearing full utilization, clinker capacity and the number of cement kilns has not only not expanded since 2010 but since the clinker capacity and the number of cement kilns has actually been reduced in the U.S. Against this backdrop, high-cost imports are increasingly required to serve U.S. coastal markets. Eagle is well positioned in the Heartland of the U.S. away from the coast, and hereto, Eagle will be positively impacted from this trend. 
 These imports also carry with them a much larger carbon footprint than even the most inefficient domestic cement producers. This carbon footprint is not only from their in-country manufacturing processes but also from the logistics associated of delivering their product to their end-use customer. It is worth a reminder that Eagle operates some of the most modern and efficient plants in the U.S., and all of our plants operate within established stringent U.S. environmental limits. If you'd like to learn more about our ambitious cementatious materials agenda and our role in creating a net-zero carbon future, I'd invite you to review our recently released Environmental and Social Disclosure Report featured on our website. 
 At Eagle, we are exceptionally well positioned to take advantage of opportunities that this current business environment provides us. Our balance sheet is strong, giving us substantial financial firepower when growth opportunities arise. We have also restarted our share repurchase program and completed the issuance of 2.5%, 10-year senior notes that will further strengthen Eagle's capital structure. In short, as we stated in past quarters, favorable demand outlooks, constrained U.S. manufacturing supply capability and limited practical substitutes for our products in both of our businesses add up to a very bright future for Eagle Materials. 
 With that, let me turn it over to Craig to discuss the financials. 
D. Kesler: Thank you, Michael. First quarter revenue was a record $476 million, an increase of 11% from the prior year. The increase reflects higher Wallboard and Cement sales prices as well as increased Wallboard and Paperboard sales volume. First quarter earnings per share was $2.25. That's a 3% decrease from the prior year. However, the prior year included a $0.93 per share gain from the sale of our Northern California businesses. 
 Turning now to segment performance. This next slide shows the results in our Heavy Materials sector, which includes our Cement and Concrete and Aggregate segments. Revenue in the sector increased 3% driven by the increase in cement sales prices. The price increases range from $6 to $8 per ton, and were effective in most markets in early April. These price increases were partially offset by lower cement sales volume, which was largely the result of heavy rainfall in Texas and reduced inventory levels across our cement network. 
 Operating earnings increased 3%, again, reflecting higher cement prices, which were partially offset by higher maintenance spending in the first quarter of fiscal 2022. As we mentioned in the earnings release, during the initial stages of the pandemic last year, we modified the timing and extent of our annual maintenance outages, and we had lower-than-normal maintenance expense last year. However, this year, we completed full outages at each facility during the quarter, which increased maintenance spending during the quarter. The impact and the shift in timing and extent of the outages was approximately $10 million. 
 Moving to the Light Materials sector on the next slide. Revenue in our Light Materials sector increased 25%, reflecting higher Wallboard sales volume and prices. Operating earnings in the sector increased 51% to $67 million, reflecting higher net sales prices and volume, partially offset by higher input costs, namely recycled fiber costs and energy. However, Wallboard margins improved to 38% versus 32% in the prior year. 
 Looking now at our cash flow, which remains strong. During the first quarter, operating cash flow increased 17% to $111 million, reflecting strong earnings and disciplined working capital management. Capital spending declined $12 million. And as Michael mentioned, we restarted our share repurchase program during the quarter and returned $62 million to shareholders during the quarter, which equated to approximately 426,000 shares. 
 Finally, a look at our capital structure. Eagle's June 30 capital structure remained about flat with year-end. And at June 30, our net debt-to-cap ratio was 34%, and our net debt-to-EBITDA leverage ratio was 1.2x. We ended the quarter with $307 million of cash on hand. Subsequent to the quarter, we completed the refinancing of our capital structure, which included issuing $750 million of 10-year senior notes with an interest rate of 2.5%, extending our bank credit facility 5 years, paying off the bank term loan and retiring our 2026 senior notes. The results of these actions provide Eagle with a low-cost, long-dated capital structure with significant liquidity. 
 Thank you for attending today's call. We'll now move to the question-and-answer session. Josh? 
Operator: [Operator Instructions] Our first question from Trey Grooms with Stephens. 
Trey Grooms: Congrats on a nice quarter. So first one is on the Texas weather. I mean clearly impacted the JV. But I mean, I think weather has started to clear up there. And so are you expecting a bounce back here in JV volumes in the 2Q? 
Michael Haack: Yes. Trey, everything is dependent on weather at that time of the year. And as you said, it's been dryer down there. As it's dry, the demand is there. As I said in the comments, it was nothing to do with the demand driver on there. As we dry out, we'll be seeing cement shipments resume at a faster pace. 
Trey Grooms: And kind of sticking with the JV. I believe on the last call, you had mentioned a midyear price increase in that market. Is that still on track? And are there any other markets where you could have midyear increases in the cement? 
Michael Haack: Yes. We're currently in process of implementing that cement price increase we mentioned last time. As for other markets out there, we continue to evaluate other markets and determine if we will implement a price increase at those markets at any time, depending on our cost structure, demand and supply levers there. 
Trey Grooms: Okay. That makes sense. So I guess on the margins, clearly trending in the right direction, and obviously, pricing is playing a role here. And Craig, you talked about or mentioned briefly a couple of things that you're seeing there on the cost front, OCC in energy, specifically. But -- could you give us a little bit more detail on what you're seeing on the cost front on both sides of the business as far as inflation? And maybe any more detail you could give us around that. 
D. Kesler: Yes. Trey, so on the Cement side -- again, we largely control our primary raw materials into the Cement business. And our fuel costs and electricity costs are pretty consistent. And so we didn't see much there. What we did see in this quarter specifically was the timing and magnitude of the outages at the cement plants. A year ago, we had modified the timing and extent just to deal with those early days of the COVID shutdowns. And so we're back to a little bit more normal pace. So we actually should see that benefit in the second half of the year because we had moved some of those outages into last year's second half. 
 On the Wallboard side, again, it's a -- paper cost, while they're going up, they're not dramatic. And at the paper mill level, we end up passing those costs through. Now we do that on a quarterly lag basis. So sometimes it takes us a quarter to catch up with the pricing, but we pass the vast majority of that through. The other thing we are watching is freight. We saw freight costs go up this quarter, and it's something we're watching very closely. 
Trey Grooms: On that front, Craig, obviously, Texas import market, you guys have a terminal there. It's a strong market from a demand standpoint. Excluding the weather impact, obviously, but strong market from a demand standpoint. It's sold out. What role is the freight having? And the increasing freight costs having there in that market as far as imports are concerned? 
D. Kesler: Yes. I'd make the statement more broadly than just Texas. But as ocean -- so you've got domestic freight, which is railroads and trucks, which has gone up. Then you think about ocean freight rates, which have gone up considerably in the last 6 to 9 months. And that is -- imports are necessary to fill the void as demand outstrips supply. And they've generally been high cost imports with the higher cost of ocean freight rates. Those imports are becoming more and more expensive. Again, what that ends up doing is shrinking the shipping radius for those imports and really keeping them closer to the coast. So it's just -- it's consistent with what we've seen historically. 
Trey Grooms: One last one for me, and it's nice to see you guys reinstating or restarting the buyback and being out there repurchasing shares. Can you tell us or kind of talk a little bit about -- well, first, a reminder of kind of what you have on authorization? And then secondly, more high level, kind of how you're thinking about balancing that, the buybacks with maybe some internal opportunities you may have or possibly even M&A? 
D. Kesler: Yes. Look, what I would tell you, the capital allocation priorities have been consistent and served us very well. And 1A is to continue to grow the company and grow Eagle in a profitable way. And as you've heard us say for years, there's a very high barrier to entry for that growth and that is both a financial return criteria as well as a strategic criteria, but that is the capital allocation, number one. 1B, which is very closely followed is continuing to maintain our assets like new condition and keep our modern facilities and improve our low-cost producer position. To the extent there's additional free cash flow after those, we have historically returned that cash to shareholders, and we've done that generally through a share repurchase program. 
 We did reinstitute our quarterly cash dividend this year, and it was payable and paid in July. But from a significant return of cash flow, we've generally done that through our share repurchase program. Those have been tried and true for many, many years, and we've taken out a considerable amount of the float for the last 5 years, 10 years or going back 20 years. And I would point out, we've done all of that while we've tripled the size of the company, especially on the Cement side, and we've done it all with a balance sheet that still sits in a unique position at a little over 1x debt-to-EBITDA that gives us a lot of opportunity for growth when those opportunities come our way. So with that, then I'd say from a share repurchase authorization, we've got a considerable amount of shares that we can repurchase. We're right around the 7 million share level at June 30 and more than enough opportunity for us. 
Trey Grooms: Nice work and good luck with the quarter. 
Operator: Our next question comes from Brent Thielman with D.A. Davidson & Company. 
Brent Thielman: Great. Just on Cement, the dip in JV Cement volume makes sense just given the inclement weather. I was more curious about the flat to slightly lower sales volume and wholly owned. It seems like a pretty tight demand environment right now just the way you guys are describing it and decent weather elsewhere in the country. And just wanted to get your thoughts around that. 
Michael Haack: Yes. And we've talked about this a little bit in some of the past calls with it. We did have a substantial amount. We did an investment in our Sugar Creek facility. And we put in a grinding mill there, and we had some inventory that was in place last year that led us actually grind that into finished product and sell that and do an inventory reduction with it. So what you're seeing in some of the areas with it is that our facilities are manufacturing tonnage pretty much at the sold-out levels with it, and that we don't have those levers to pull necessarily with those inventories. 
 That being said, we continuously look for opportunities to expand any one of our plants and get the next clinker ton out of it that we can get out of it. And we have several projects that we're looking at on how we do that across our facilities, but we are manufacturing sold out at this time. 
Brent Thielman: Okay. And then on the Wallboard, how -- I guess how can we think about the June Wallboard price hike? How much is reflected, I guess, this quarter? And as we think about kind of the September quarter, anything to suggest there's been sort of a higher level of prebuy, I guess, associated with the April and June hikes? 
D. Kesler: Yes. Brent, look, as it comes to prebuy activity, that's largely kind of come and gone with economic activity and specifically residential construction activity, where it's a strong market demand environment for us. And to your point, though, we did implement this price increase in June. So it's partially reflected in this quarter's average price but there will be some more upside as we fully implement it or get the full effect of it in the September quarter. 
Brent Thielman: Okay. That's helpful. And then the Paperboard profit contributions. You mentioned recycled fiber energy expenses planned to that. I guess just kind of wondering if we're at an inflection point here where those headwinds should gradually abate and we should see some better bottom line contributions here going forward. 
Michael Haack: Yes. On the Paperboard, what to remember too with that is, we should see some leveling out in that, but we also need to remember too that we have a quarter lag with passing on some of those costs with how our contracts are structured. So where you may see some noise in 1 quarter, you'll see the rebound of that noise in the next quarter on. The -- if it continues to go up, you'll see noise in a couple of quarters in a row. But at the end of the day, that cost is predominantly passed on through our contracts. 
Operator: Your next question comes from Adrian Huerta, JPMorgan. 
Adrian Huerta: With the Cement, there was a very strong quarter-over-quarter increase on cement prices. Was there any impact from mix because we haven't really seen an increase of this magnitude on a sequential basis in the second quarter? And the second question is on spending propriety prices. You mentioned that ocean freight costs have increased significantly. Have you started to see cement prices in the coastal regions increasing in line versus what we have seen with freight costs as well? 
D. Kesler: Yes. Thanks, Adrian. On your first question, not really a mix issue on the cement price increase. But I will tell you, a year ago, as the pandemic was hitting, we did push our price increases, which generally have been an April 1 date to June 1. So as you're comparing year-over-year, we had the full effect this quarter of the price increase. So the up 7% year-over-year, I would suspect in the September and December quarters should -- absent anything else happening should look more like a 5% to 6% increase as you get a more apples-to-apples comparison. 
 And then look, the only -- to your second question, the only market where we really participate or see exposure to imports is Texas. So we can't necessarily speak to the East or West Coast necessarily. But undoubtedly, we've seen some significant moves in the cost of imports, and eventually, that feeds through that system. 
Adrian Huerta: But even on Cement on a sequential basis in this quarter was up 3.2%, which is a pretty big number for the second quarter. So that's why I was wondering if there was any mix impact there. 
D. Kesler: No. Our price is always up. Well, from the fourth quarter to our first quarter as we're implementing prices in April, generally. 
Operator: Our next question comes from Jerry Revich with Goldman Sachs. 
Jerry Revich: Michael, really interesting comments about wallboard industry structure moving towards cement in your prepared remarks. I'm wondering if you could just talk about what capital deployment opportunities you see for you folks in that area. Because over the past 10-plus years, you've been more focused on adding cement. And I'm wondering if your common signal opportunities for M&A or otherwise to grow the wallboard footprint. Can you just expand on your opening comments in that area? 
Michael Haack: Yes. Yes. I appreciate the question, Jerry. No, the comments are focused around is, if you look back at the wallboard industry, especially over this last 3 or 4 years, you'll see that there has been a consolidation in that industry, too. So with the consolidation in the industry and with the -- still the capacity -- there is still capacity in that industry. We still have some capacity in the industry. So our main focus with this is to maximize our production out of those facilities, be the low-cost producer by what our historic structure has been is: owning our raw material resources, keeping our plants like new conditions and just making sure we could produce as much as we can out of those facilities with it. So the investment that we do on the capital allocation side is really keeping those plants like new condition and anything we need to do with any kind of logistics distribution side with just making sure we can get to the customers we have today. 
Jerry Revich: Okay. So you're not optimistic on M&A opportunities in Wallboard? 
Michael Haack: When I look at it, I would never rule out anything with it. We'll look at anything. But with the consolidations that happened in that industry, in the past, it is getting to be a more consolidated industry at this time. 
Jerry Revich: Okay. And Craig, can you talk about what was Wallboard pricing exit rate in the quarter? 
D. Kesler: Yes. We were ahead of where the quarterly average was. We'll certainly give you that total number for the September quarter when we get there, but we were north of the average. 
Jerry Revich: Yes. No, clearly the question is, if you're willing to comment on order of magnitude? 
D. Kesler: It was meaningfully higher, Jerry. And so we'll give you that total number when we report the September quarter. 
Jerry Revich: Okay. And then in Cement, pretty sizable maintenance outage this quarter. Can you talk about, as we think about the year-over-year comparisons for Cement margins over the balance of the year, which quarters does that $10 million free up as we think about the comps where outage costs are going to be lower over the next 3 quarters? 
D. Kesler: Yes. That has been -- most of it pushed into the September quarter. There was a little bit that bled into the December quarter last year, but we'll see the majority of it in the September quarter. 
Michael Haack: Yes. And Jerry, just for a little color on that, too, just so you're aware is the whole reason was the pandemic on that. I didn't feel comfortable taking down all of our plants at one time during that time frame. So we pushed these throughout the year, and we want to get back to a normal schedule where we have those -- how we normally do it in the first part. So that's why you're seeing this change. 
Operator: Our next question comes from Stanley Elliott with Stifel. 
Stanley Elliott: Could you talk a little bit about what you're seeing on the rest of the M&A environment on the heavy side? 
D. Kesler: Yes. Stanley, the opportunities within really both businesses, Michael highlighted on the Wallboard side, but they're opportunistic. There aren't a significant number of assets that are on the market at any given time. And even when there are, we've got that strict criteria, both at a financial level and a strategic level. So we are constantly looking at opportunities out there. We walked by more -- many more than we've executed on. So we continue to -- the pipeline and the number of opportunities are out there. We're just trying to make sure that we find the right quality at the right value, and that's what's most important to us. And we've been very fortunate over the last decade that we found a number of ways to invest and grow the company in a very profitable way. And that's going to continue to be the exercise that we go through. 
Stanley Elliott: Perfect. And then as it relates to the Cement business, you blended different blends that are out there, and you guys do a nice job with that. Is it reasonable for us to think that with adoption of some of these new blends, some of the things you're doing that you can continue to kind of drive out low single-digit volume growth even though we're in effectively a sold-out sort of environment? 
Michael Haack: Yes. That's a great question. And yes, that is a true fact that you stated there. That's where we focus on right now is how much additives we could put in and still make ASTM specs. We also do some investments. We're going through an investment right now to maximize our grind capacity with our clinker capacity to service markets during their peak times, which is an investment with a storage dome that we're putting at our Fairborn facility, which should give us some more potential into the next year of some extra product being available. But as you stated, it's kind of the low single digits is where we're at on improving our organic growth side with it. But we look at every single plant and maximize every plant we can. And we've been -- we have a great group of engineers and a great group of production people that have been able to do that for us. 
Stanley Elliott: Perfect. And then lastly for me. Could you remind us if you all have a program in place as it relates to the repurchases? 
D. Kesler: Yes. Absolutely, Stanley. So we've got, as I said earlier, nearly 7 million shares under a repurchase authorization, and we began repurchasing shares during this quarter. It was about 426,000 shares, and we generally do that through open-market purchases. 
Operator: Our next question comes from Adam Thalhimer with Thompson Davis. 
Adam Thalhimer: Great quarter. I wanted to dig in a little bit on Wallboard margins. Kind of what drove that increase from 32% to 38%? And then how sustainable is the Q1 result? 
D. Kesler: Yes. Look, Adam, we saw a pretty meaningful price move during the quarter. I think prices were up $30, $31 a 1,000 because of the demand environment and much higher utilization rates. And on the cost side, while we saw some increases around paper and energy, we were able to raise prices ahead of that and continue to expand margins. And look, what I would also comment that while we see some of these cost pressures on the energy side and paper side. The nice thing that Michael made in his comments, we own decades worth of natural gypsum at the majority of our facilities. And that gypsum is close to the plants, and it's a low-cost raw material source for us. So we don't face some of the inflation pressures that you see in other industries and maybe across other geographies. 
Adam Thalhimer: Okay. And then you briefly mentioned freight, also natural gas costs are up. Are there any -- is there anything else you're worried about there from a cost standpoint, Craig? 
D. Kesler: No. Again, no. Again, this isn't a labor-intensive business, and we own the decades worth of natural gypsum. So it's something we're keeping our eye on freights and natural gas, but no other major changes there. 
Adam Thalhimer: And then in Cement, are there any markets that are on allocation? And then what are the implications of that, if there are? 
Michael Haack: We've been able to work with our customers so far and provide with our customers. As we come in through this is the peak shipping time with it. And we are close to allocation in some markets, but we're -- we've been able to satisfy our customers' demands and partner with those customers. 
Operator: Our next question comes from Phil Ng with Jefferies. 
Unknown Analyst: This is actually Collin on for Phil. I guess just go tight -- on the cement market, it seems very tight. So I was just curious as to what you need to see to announce a second price increase? And have you seen any of your competitors announce a summer increase outside of Texas? 
Michael Haack: Yes. We continuously monitor the market to see supply and demand fundamentals to determine when we will announce that. We're continuously monitoring that today. As we talked about last time, we're implementing one in Texas currently with it some of the other markets. We will monitor those over the coming months and decide. As for our customers -- our competition announcing price increases, I mean, I don't really comment on those too much. We really look at it from what our supply/demand fundamentals are and what our manufacturing capacity is. 
Unknown Analyst: And then just touching on wallboard demand. We've heard from public builders that they've been raining in their orders somewhat. So have you guys seen any choppiness in your business since it's a large driver of wallboard demand? Or have you guys just been able to carry through? 
D. Kesler: We continue to see a very strong business environment for our Wallboard business. 
Operator: Our next question comes from Josh Wilson with Raymond James. 
Joshua Wilson: Wanted to start with just making sure we have the maintenance cost down on cement. I think last year, you said the benefit was $6 million. So did you pull some extra costs in? And is everything this year now as it will be? Or could something shift next fiscal year a little bit to get truly back to normal? 
D. Kesler: Yes. Look, on the last part of that, I don't know that we've 100% scheduled at every maintenance event for next year and want to be nimble on our toes, don't anticipate any changes. But look, it was -- last year versus this year was not just a matter of timing but magnitude. We made some decisions last year, again, as COVID was unfolding to minimize what we were doing, to minimize the downtime at the plants. And so it was -- as we get back to a more normal maintenance schedule and extent. That's why those costs were a little bit higher this year versus last year. 
Joshua Wilson: Got it. And can you give us your current CapEx expectations for the year? 
D. Kesler: Yes. Frankly, not all that different than what we guided to back in May. It's going to be in that $90 million to $100 million level for the full year. It takes a while for some of the projects that had been pushed off to get spooled back up, but I'd expect to see that start to pick up again in the second half of the year. 
Joshua Wilson: And then last one for me. Other income has still been a little bit of a volatile piece of EBITDA and EPS. Can you give us a sense of what drove the higher-than-normal levels there this quarter and what that should look like going forward? 
D. Kesler: Yes. Those are little extraneous things that happen from time to time, whether it's a small parcel of land that gets sold in one market or some other opportunity where we have an opportunity to sell something, a piece of equipment or inventory, something like that. So it's hard to forecast that quarter-to-quarter, and so I wouldn't put much in there. It's relatively small. 
Operator: And I'm not showing any further questions at this time. I would now like to turn the call back over to Michael Haack for any further remarks. 
Michael Haack: Thank you very much for joining us today, and we look forward to talking to you at the next quarter earnings call. 
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.